Operator: Good morning, and welcome to Despegar's First Quarter 2022 Earnings Call. A slide presentation is accompanying today's webcast and is available in the Investors section of the company's website, www.investor.despegar.com. There will be an opportunity for you to ask questions at the end of today's presentation. This conference call is being recorded. As a reminder, all participants will be in listen-only mode. Now I'd like to turn the call over to Ms. Natalia Nirenberg, Investor Relations. Please go ahead.
Natalia Nirenberg: Good morning, everyone, and thanks for joining us today. In addition to reporting financial results in accordance with US generally accepted accounting principles, we discuss certain non-GAAP financial measures and operating metrics, including foreign exchange neutral calculation. Investors should read the definition of these measures and metrics included in our press release carefully to ensure that they understand them. Non-GAAP financial measures and operating metrics should not be considered in isolation or substitute for or superior to GAAP financial measures and are provided as supplemental information only. Before we begin our prepared remarks, allow me to remind you that certain statements made during the course of the discussion may constitute forward-looking statements, which are based on management's current expectations and beliefs and are subject to a number of risks and uncertainties that could cause actual results to materially differ, including factors that may be beyond the company's control. This includes, but are not limited to, expectations and assumptions related to the impact of the COVID-19 pandemic and the integration and performance of the businesses we acquire, including Best Day and Koin. For a description of these risks, please refer to our filings with the US Securities and Exchange Commission and our press release. Speaking on today's call is our CEO, Damian Scokin, who will provide an overview of the fourth quarter and update you on our strategic priorities. Alberto Lopez-Gaffney, our CFO, will then discuss the quarter's financial results in more detail. After that, we'll open the call for your questions. Damian, please go ahead.
Damian Scokin: Thanks, Natalia, and good day, everyone. Thank you for joining our earnings call and for your interest in Despegar. Our most recent result shows that we continue to execute well against our strategy, sustaining profitable growth. They also reflect how well positioned Despegar is in a recovering travel market. Omicron impacted demand levels once again, but this was limited to January and February, with March gross bookings increasing 40% versus January's level. April was equally strong as we will show later in our presentation. For the quarter, gross bookings were 69% of first quarter 2019, outperforming industry growth. On the other hand, ASPs were sequentially stable at $411, only 6% below the first quarter of 2019. For international transactions, however, gross bookings were 51% of the pre-pandemic levels. It is important to note that across our portfolio Despegar’s recovery level in terms of gross bookings and transactions are higher than air industry growth vis-a-vis 2019. While we are focused on profitability overall, we are investing to gain share in markets that are performing well, such as Colombia and domestic travel in Brazil. Our revenue margin was exceptionally strong at 14%, up 250 basis points versus first quarter 2019. Travel packages, hotels and other travel products accounted for 60% of first quarter revenues. These factors and our improved operational leverage in connection with cost of revenue combined to generate our highest gross margins since the pandemic began, 66.1% versus 66% in the first quarter of 2019. We delivered our second consecutive quarter of positive adjusted EBITDA, which was also the highest level for the first quarter since 2019. Excluding Koin, EBITDA rose over $12 million, even though bookings were still way below our first quarter of 2019 levels. At nearly $30 million, operating cash flow was also solid, as was our cash position at the end of quarter. We also began the year advancing our M&A strategy with an agreement to acquire 51% of Stays, the leading travel manager in Brazil's vacation rental market and a [indiscernible] product segment with significant growth potential. More recently, we signed an agreement to acquire 100% of Viajanet, one of Brazil's top travels. In a moment, I will elaborate on the Viajanet acquisition and also discuss the strategic alliance we are forming with Movii in Colombia. Now please turn to Slide four. Now that Omicron is finally behind us and travel restrictions have been lifted in our markets, demand has been recovering. The variant also coincided with seasonally slow period. Thankfully, in March and April we observed the same recovery trend as those of last October and November. As you can see in the graphs on this slide, gross bookings in March and April reached 85% and 102% of first quarter 2019 level, respectively. Of note, domestic booking exceeded first quarter of 2019 by 7%, while international bookings were 51% of that quarter's level. The recovery of international travel represents an important opportunity for us as it is where Despegar has a particularly strong track record. On the right side of the slide we have highlighted the restrictions that impacted our demand in the quarter, notably Brazil's carnival parade were postponed to April, while in Mexico and Argentina, travel restriction were minimal. Slide five. We continue to make targeted acquisitions as another avenue of growth and Despegar’s offering. More recently, we agreed to acquire 100% of Viajanet, one of Brazil's leading OTA with $30 million in annual revenue. In addition to expanding our presence in that important market, Viajanet brings a loyal customer base. Air travel [indiscernible] and a profitable business and has a great deal of potential when incorporating Despegar's non-air travel products. At the product level, 88% of our Viajanet gross bookings originate in the B2C channel and 12% in B2B. Today, 98% of Viajanet's bookings are for air travel. So there is a huge opportunity to cross-sell Despegar's non-air inventory, such as accommodations and travel packages, which also command higher margin. There are other significant synergies that we expect to realize by plugging Despegar's technology platform into Viajanet's systems, such as enhanced conversion rates and improved performance marketing capabilities. Finally, total consideration $70 million to acquire Viajanet. Let's now move to slide six. Colombia is another key market for us. To tap its large and rapidly growing BNPL market, Koin has established a strategic alliance with Movii, one of the country's leading B2C and B2B fintech. As many of you know, Colombia has high underserved population with limited access to credit. It also has a fast-growing e-commerce market. Their BNPL market there doubled in 2020. Moreover, in this year BNPL transactions are forecasted to hit $4.5 billion, growing 40% per year. Movii is expected to be an excellent partner for Koin with our 3.5 million end users. Movii has the largest base of active users in Colombia, I think we can also cross sell travel products. Movii also offers positive electronic payments in the B2B segment. Movii payment [indiscernible] more than 60,000 merchants. In Brazil, Koin In Brazil, Koin continues to expand its merchant beyond Decolar. In the first quarter, merchant TPV excluding Decolor increased 117% sequentially. It accounted for 21% of Koin's TPV. During the quarter, we also signed agreement with a number of important merchants, which we have listed on this slide. At the end of March, we had agreements with 92 merchants across verticals that include tourism, education, retail and others. That concludes my portion of the presentation. Alberto, please go ahead.
Alberto Lopez-Gaffney: Thank you, Damian, and thank you all for joining us today. Please turn to slide seven to review our top line results. We delivered the highest gross profit since the third quarter of 2019, at slightly over $74 million, with gross margin recovering to the levels reported in the first quarter of that year. This solid performance was driven by a robust take rate, together with lower cost of revenue. Actually, our take rate was exceptionally high this quarter at 14%, increasing nearly 100 basis points sequentially. Note that revenues declined sequentially by 10% to $112 million, even when gross booking posted a slightly higher drop, down 16% during the same period, reflecting the impact of Omicron in January and February. Revenues also benefited from a reversal in provisions, which resulted in positive net extraordinary cancellations totaling $2 million. Now, please turn to slide eight. We delivered the second consecutive quarter with positive adjusted EBITDA since the start of the pandemic. Excluding Koin, our fintech operation, adjusted EBITDA was slightly above $12 million, reaching 82% of first quarter '19 levels, despite gross bookings reaching only 69% of pre-pandemic levels. This improved performance reflects Despegar’s greater earnings power on the back of a leaner operating structure, synergies and revenue diversification achieved during the pandemic. With respect to Koin’s impact on profitability and the loan adjusted EBITDA at our merchant payment operations was a loss of over $5 million as we continue to invest in scaling this operation. As Damian noted, we expect Koin to reach breakeven in the second half of 2023. Now please turn to slide nine. We closed the quarter with cash and equivalents of nearly $286 million at quarter end, while our net payable position stood at $220 million, up 11% sequentially. During the quarter, Despegar generated operating cash flow of nearly $30 million, including $11 million provided by working capital. All in all, we reported net cash flow of nearly $7 million, up from both fourth quarter 2021 and first quarter of the same year when we generated $3 million and had a use of cash of close to $25 million, respectively. Note, that given the anticipated resurgence in travel, we expect an increase in the use of open vouchers which would have an impact on our cash balances in the following quarters. Now please turn to slide 10 for a summary of important aspects on what was a strong quarter, during which EBITDA expanded faster than gross bookings and we advanced our M&A strategy with two important acquisitions. First, our results reflect Despegar's increasing earnings power in a recovering travel market. Again, it was our second quarter of positive adjusted EBITDA. Although Omicron impacted travel in January and February, our gross bookings recovered to October's levels in March and in April. We also achieved our highest gross profit with a corresponding margin at our third quarter '19 level. We benefited from an exceptionally strong revenue margin of 14% and lower installment decreased our cost of revenue. Excluding Koin, adjusted EBITDA was $12.3 million and expanded faster than gross bookings, reflecting greater operational leverage. Regarding organic growth, we will expand Despegar's Brazilian presence with agreements to acquire Viajanet, a leading OTA that offers significant cross-selling opportunities among other synergies and Stays, a leading channel manager in Brazil's fast growing vacation rentals market. Koin itself is expanding in Brazil. As more merchants adopt its payment solutions, a success that we expect to replicate in Colombia with the new Movii partnership. And finally, we finished the quarter with a solid cash position of nearly $286 million. Now, on to slide 11 for some quick remarks on our views for the coming months. First, as travel recovers in the region, we expect to build on our solid performance of the last two quarters, supported by the strong underlying fundamentals of our business. We expect to maintain our positive EBITDA trajectory, while gaining additional operating leverage. We also expect travel to recover to pre-pandemic levels by year-end and plan to continue capturing the greater upside potential of international travel market where we are strongly positioned. For the remainder of the year, we will continue investing in marketing activities that support Despegar's brand, market position, and overall business, particularly in countries with promising recovery levels. Second, building on past M&A successes, we intend to complete the acquisition of Viajanet in a timely way and to effectively integrate the business to achieve the various synergies that we highlighted earlier. And finally, at Koin, we are excited about further expanding our network of merchants and partners, not just for BNPL, but also for prevention, which is essential to any [extra] (ph) paying solutions. Before opening the call for questions, let me remind you that we will be holding our second Investor Day on June 14 in New York City. We look forward to sharing with you more color on our markets, operations, business strategy and mid-term outlook. We are ready to answer your questions. Operator, please open the line for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Alejandra Aranda from ITAU. Your line is open. Please go ahead.
Alejandra Aranda: Thank you. Hi, good morning. Congratulations on the results. I have three questions, if I may. The first one is on gross margins for this year. And if you could give us a little bit of color on what to expect going forward to be a normalized level? Then my second question is, what should we expect for Koin in terms of breakeven when that is -- when are you expecting that to happen? And what's the potential EBITDA level coming from that operation? And the last question that I have, if I may, is when do you expect the Viajanet acquisition to be completed and if you could walk me through what you expect in terms of the P&L and working capital demand coming from this?
Alberto Lopez-Gaffney: Okay. Alejandra, Alberto speaking. I believe you can see me well. So I will try to address three questions and Damian, please, jump in at any time. On gross margin, we have finalized the first quarter of '22 with a gross margin slightly above 9% as percent of gross bookings. What we are seeing is, going forward we certainly see in markets that have recovered the most and this is very much in line with the strategy and the principle of investments and getting out of COVID in '19. What we see? We see opportunities to increase marketing expenditure and to increase with lower margins to gain additional share in those markets. So that will translate into a gross margin in the upcoming quarter of around losing between 125 basis points to 100 basis points vis-a-vis the 9.25%, so going to approximately a gross margin of around 8%. Following that, clearly these margins are much higher vis-a-vis the margins that you have seen pre-pandemic. We believe that Despegar will be having a gross margin and also including sales and marketing more than an operating profit that will be much higher, given all the synergies that we expect to capture from the recent acquisitions and the streamlining of the cost structure. We are looking into -- on our Investor Day on June 14 to discuss what are the long-term prospects, but the 8% applies to provide some visibility on to the second quarter of this year. Second, with regards to your question on Koin, as we noted on the remarks, we expect Koin to reach EBITDA breakeven by 2023, along the same lines as we present more of the medium and long-term perspective for that business. Let's wait for the Investor Day just to look at the overall Despegar group results in that context for, let’s say, for a longer-term perspective. But short term, you should think that by the second half of 2023 the EBITDA of Koin should be at breakeven levels. Then with regards to Viajanet, we expect the closing of the deal to occur during -- by the end of Q2 or the very beginning of Q3. So that's the time frame that we're working on. Our integration teams are already very focused on start extracting synergies well in advance of the closing, but that is what we're thinking about closing. With regards to cash needs for the business, there will be some. At the working capital levels, we don't expect that to be that material. And last but not least, in line with the way that we have been doing the payments for all the different transactions, the payment of the Viajanet acquisition also has a payment installments, out of which, let's say, 60% will be required at closing. So hopefully, Alejandra, I have addressed your question.
Alejandra Aranda: Yes, thank you, Alberto
Alberto Lopez-Gaffney: You are very welcome.
Operator: Our next question comes from Kieran Kenny from Morgan Stanley. Your line is open. Please go ahead.
Karen Kenny: Great. Thanks for taking my questions. First, a couple on take rate. Could you talk about the underlying drivers of the stronger take rate in 1Q and then how you think about the sustainability of those going forward? And then on the back of that, could you just comment on the impact to take rate from the Viajanet acquisition? Thank you.
Alberto Lopez-Gaffney: Hi, Kieran. Alberto, again here. So clearly, we did present a very strong take rate. We were benefited marginally by cancellations. Cancellation levels for this quarter, first quarter '22 were actually much more lower than -- much lower than actually expected. With regards to the long term, what we are seeing is and we will also discuss that at the Investor Day. Remember, what we have been discussing so far is a take rate that has expanded vis-a-vis the pre-pandemic levels. Remember there, we were discussing a take rate of 11.5 plus percent. We are seeing a take rate expansion between, let's say, 50, 75, 100 basis points from that level. And we feel very comfortable that we can continue growing with that pricing level that will allow also to have a much better -- much higher earnings power of the business going forward. I don't know if there was a second question, Kieran, that is -- when it comes to take rate.
Karen Kenny: Yeah. And then what's the impact to take rate from the Viajanet acquisition? Have you sized that? Yeah.
Alberto Lopez-Gaffney: Yes. Again, as you know, we do not look -- for competitive reasons, we do not disclose take rate information at a business line perspective or even at -- for each one of the targets. You should assume that Viajanet, that is a 98% air business, has a lower take rate than the average take rate that Despegar has. But of course, we are looking into extracting strong synergies by improving the product mix that Viajanet consumer or customer have today. And we will address that at the Investor Day when we look at the overall take rate for the company going forward. But we see ample opportunities to increase take rate as we integrate Viajanet.
Karen Kenny: Got it. Thanks a lot.
Alberto Lopez-Gaffney: You are welcome.
Operator: Our next question comes from Kevin Kopelman from Cowen and Company. Your line is open. Please go ahead.
Emily Lavin: Good morning. This is Emily on for Kevin. I just wanted to thank you for the update on the monthly gross booking trends through April. But I was wondering if you could provide us with an update on the latest trends in May to date. We noticed some of the large global OTAs and hotel companies noting a strong April, but stabilization of trends from there. And I was wondering how demand trends are looking in Latin America? Thank you.
Damian Scokin: Emily, hi. How are you. This is Damian. Thanks for your question. What we are seeing in May is sustainability of the April trend. Actually, the upward trajectory remains strong in May. And that has a lot to do with what we've been talking about over the last earnings call regarding Latin America lagging behind the Northern Hemisphere in terms of recovery to pre-pandemic level. Our expectations are very much to -- that the market will continue catching up and we expect -- and our forecast in terms of [indiscernible] has been fulfilled completely in May, I would say.
Emily Lavin: Okay, thank you.
Operator: We have no further questions. I'll now hand back to Damian Scokin, CEO, for closing remarks.
Damian Scokin: Thank you, operator, and thanks, everyone, for joining our call today. As always, if you have any other questions, please do not hesitate to reach out to us. We'll be happy to follow up with you. We look forward to speaking with you again in our next call. But hopefully, we'll speak sooner at our Investor Day next month. We wish you a good day to all. Thank you very much.
Operator: Today's call has now concluded. We'd like to thank you for your participation. You may now disconnect your lines.